Operator: Good day, and thank you for standing by. Welcome to the Instacart Fourth Quarter 2025 Financial Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, the Vice President of Investor Relations, Rebecca Yoshiyama. Please go ahead.
Rebecca Yoshiyama: Thank you, Carmen, and welcome, everyone, to Instacart's Fourth Quarter and Full Year 2025 Earnings Call. On the call with me today are Chris Rogers, our Chief Executive Officer; and Emily Reuter, our Chief Financial Officer. Before we dive in, I want to provide an update on our approach to earnings communications. Beginning with Q1 2026, we will not publish a quarterly shareholder letter and instead, we will move to an annual shareholder letter. We believe this approach allows us to better reflect the long-term nature of our strategy, step back to assess our progress more holistically and focus on the sustained value we're building. We plan to continue to provide regular updates through our quarterly earnings call, a detailed earnings press release and supplemental materials. Now on to today's call. We will make forward-looking statements related to our business plans and strategy, developments in the grocery industry and our future performance and prospects including our expectations regarding our financial results. These forward-looking statements are subject to risks and uncertainties, which could cause actual results to differ materially from those anticipated. You can find more information about these risks and uncertainties in our SEC filings, including our last Form 10-Q. We assume no obligation to update these statements after today's call, except as required by law. In addition, we will also discuss certain non-GAAP financial measures which have limitations and should not be considered in isolation from or as a substitute for our GAAP results. A reconciliation between these GAAP and non-GAAP financial measures is included in our shareholder letter, which can be found on our Investor Relations website. Now I'll turn the call over to Chris for his opening remarks.
Chris Rogers: Thanks, Rebecca. Hello, everyone. I hope you've all had a chance to read my annual shareholder letter. I am incredibly proud of what we delivered in Q4. We closed out the year with our strongest GTV growth in 3 years, ads and other revenue grew 10% year-over-year. And based on our strong conviction in how the business is performing, we repurchased $1.1 billion worth of shares in Q4 alone. Looking ahead in Q1, we're guiding to the strongest year-over-year GTV growth we've ever provided as a public company, and we're doing it while continuing to expand profitability. The performance gives us confidence not just in the quarter ahead, but in our ability to drive durable, profitable growth over the long term. It's clear that we have real momentum. And today, I want to focus on what's driving that. It starts with the category that we operate in. Grocery is massive, still early in its online journey, highly fragmented and one of the most operationally complex categories in all of retail. Those dynamics have historically slowed online adoption, but they're also exactly why our differentiation matters and why we're continuing to extend our lead. Because we stayed relentlessly focused on grocery, we have purpose-built technology, deep retailer integrations and ongoing systems designed specifically to handle that complexity at scale. Just as important, these systems work together. So our advantage is compound with every order we fulfill, which is now up to more than 1.6 billion lifetime orders. That's why, as I said in the letter, we're now in a position to press our advantage. Our strategy is clear, be the platform consumers trust for all of their grocery needs, provide the technology grocers rely on to power their omnichannel business and be the advertising ecosystem brands prefer on Instacart and across many other services. And with generative AI accelerating execution across our platform, we are increasing our velocity, compounding our advantages and driving greater efficiency, all while strengthening the value of our first-party data.  Our momentum is showing up across multiple engines for growth, starting with marketplace. Today, more than 2,200 retail banners spanning nearly 100,000 locations are accessible on the Instacart app or instacart.com. As we've expanded selection, we continue to raise the bar on convenience, quality and affordability. And because our marketplace fundamentals are strong, we're able to reinvest in marketing and incentives efficiently, driving even more growth in operating leverage. Enterprise is our next growth engine. Enterprise is not just another channel for us. It's how we build deeper, more durable partnerships with retailers. This includes custom integrations, shared planning and road maps, joint OKRs so that we're aligned on what success looks like with real mutual upside. And today, we now power more than 380 grocery e-commerce sites, and we see a lot of runway ahead, both to launch with new partners and to expand with existing partners as they adopt more of our solutions. Costco is a great example of how this progression works. We started with our marketplace and storefront experience, building trust and driving growth and from there, we upgraded Costco to Storefront Pro and to Costco business centers and launched additional fulfillment options like priority delivery. More recently, we worked together to launch a benefit for Costco executive members who are their most valuable customer segment, and we expanded internationally with the launch of Costco's first-ever same-day site in France and Spain. Sprouts is another strong example. We began by launching e-commerce on our marketplace and by building a storefront on sprouts.com. From there, we expanded fulfillment with curbside pickup, where we put our picking technology directly in the hands of Sprouts associates. As the partnership deepened Sprouts upgraded the Storefront Pro with Carrot Ads unlocking new incremental revenue streams. Today, we're leaning in even further together with in-store experiences like Caper Cart and FoodStorm, and we're now getting ready to launch AI solutions starting with Cart Assistant. And these examples are not isolated cases. We see this again and again. Partnerships start with e-commerce capabilities, they expand through fulfillment and ad monetization and they deepen with in-store and AI capabilities over time. Each step helps retailers accelerate growth and allows us to participate in that growth as well. In addition, Enterprise unlocks system-wide value for us in the same way that marketplace learning drives enterprise innovation, enterprise also makes our entire platform better. We can start with whatever our retailer needs and we can build from there. And as our partnership deepens, consumers get a better experience. They engage more, they place more orders. And that scale lowers our cost to serve and improve efficiency across marketplace and enterprise allowing us to invest even more in the shared technology that powers the entire platform. This is why our enterprise platform is a growth engine and why I'm so confident that we have multiple years of profitable growth ahead of us. Our growth and momentum across Marketplace and Enterprise also strengthens another part of our business, our ads ecosystem and our data solutions. Brands and agencies want strong performance and they want measurements that they can trust at scale and that's exactly what we deliver. In addition to ads on Marketplace, we've expanded our advertising technology and demand to more than 310 retailer-owned sites through Carrot Ads, up from 220 a year ago. As our reach has grown, we've pulled in more demand. In Q4, more than 9,000 brands advertised on Instacart, up from 7,000 last year. And this diversification makes our ads ecosystem stronger and more resilience. We're also starting to unlock advertising inside physical stores through shoppable display ads on Caper Carts. Early engagement has been encouraging. For example, a simple got everything you need prompt is driving a nearly 1 percentage point lift in basket size on average. And this is just one data point that reinforces our belief that Caper will be one of the most powerful in-store advertising platforms over time. We're also investing in incremental advertising and other revenue opportunities built on our first-party data. For example, with our off-platform partnerships, where we can help brands reach consumers beyond Instacart, whether that's through search, social, recipe or video and in many cases, connect that activity back to real purchases on our platform. We're also creating additional ways to monetize our data, including with the consumer insights portal, which now has a dozen paid subscribers in just a few months. Finally, I want to spend a few minutes on AI because it's no longer about just about making teams faster or more productive. We're seeing fundamental shifts in how work gets done and how platforms create advantage. AI shifts may pose a risk to certain businesses, but we believe these shifts favor platforms like Instacart, that combine technology with real-world operations and unique data at scale. This is where we win and why we think we will excel and be a net gainer in an AI-driven world. Grocery isn't a digital-only problem. It's physical. It's operational. It's relationship-driven, and we operate at that intersection with deep retailer integrations and experienced shopper network and a constant presence inside stores. That operating model gives us one of the richest grocery data sets in the world. For example, our orders on average, include at least one replacement. That means we don't just understand what people buy we know what they intended to buy and what's acceptable when that item isn't available. And those insights can only be earned by having a network of shoppers inside stores, solving real-world inventory problems at scale. Put simply, our physical operations make our data better, and that data makes our technology smarter, more unique and more effective, exactly what's required to succeed in a category as complex as grocery, and it underscores why we win as the leading grocery technology partner for the industry. Internally, we're also leveraging AI to accelerate our execution. Over the last year, we invested heavily in connecting our tools, data and infrastructure. So AI can operate across our systems, not in silos. As a result, our teams are using AI not just to move faster on a single workflow, but to solve broader problems and execute across multiple initiatives in parallel. You can see the impact in how we're executing. Over the past year, average output per engineer is up nearly 40%, which includes 10% of our team increasing output by 80%. This momentum is already accelerating into 2026. And for new projects, we believe AI is now enabling us to build production-grade software more than 4x faster than before. And we're doing all of this while improving quality. System reliability is up even as engineering throughput has increased significantly. That's not incremental improvement. It's a fundamentally different pace of execution, and it's fueling momentum across our business. For example, on our enterprise platform, we're onboarding more retailers faster while delivering more customized white glove solutions at scale, which was not possible before. You can also see it in the breadth of what we're delivering from improvements in quality and fulfillment efficiency to new customer experiences like our Smart Shop technology to our white label AI assistant, known as Cart Assistant, to building physical AI capabilities in-store with Caper Carts and Store View and to expanding retailers' e-commerce capabilities internationally. And then on ads, AI is powering more relevant consumer interactions and simpler, more efficient tools for advertisers. It's fair to say that we are using AI across the board to accelerate and improve all aspects of our business. Overall, 2025 was a defining year for Instacart. More than 26 million customers trusted Instacart and engagement continues to deepen with approximately 10 million customers placing at least 1 order in December alone, a new high for the company. That's a clear signal that our strategy is working, our operating fundamentals are strong. Our teams are executing at a high level across our growth engines, and we're well positioned to be the clear winner with AI. And as we look ahead to 2026, my mindset is clear. This is the moment for us to accelerate. It's time to press our advantage, extend our lead, further scale our platform and unlock new opportunities to drive long-term profitable growth. We're still early in the omnichannel transformation of grocery. Instacart's earned the right to lead it, and I'm determined to make that happen. With that, I'll turn it over to Emily to walk through the financials.
Emily Maher: Thank you, Chris, and hello, everyone. Our business is operating with tremendous momentum across multiple growth engines powered by a strong operating foundation and Instacart's distinct advantages. That foundation and the large underpenetrated market ahead of us is exactly why we're continuing to invest across a balanced portfolio of short-, medium- and long-term growth initiatives to extend our category leadership. We're doing this with discipline, guided by clear guardrails, return expectations and deliberate trade-offs across investments. And we continue to drive efficiency and leverage across the P&L. We've been consistent with this approach and it's working. Over the past few years, we've accelerated GTV growth while expanding adjusted EBITDA. That track record gives us confidence in our strategy and our ability to deliver even more profitable growth over the long term. Now let's dive into our Q4 results. We ended the year with momentum. GTV was $9.85 billion, up 14% year-over-year, marking our strongest growth in 3 years. This performance was driven by orders reaching $89.5 million, up 16% year-over-year. And as we expected, average order value decreasing by 1% year-over-year, reflecting growth in restaurant orders. Transaction revenue grew 13% year-over-year and represented 7.1% of GTV, which was flat year-over-year. This was driven by investments into affordability to drive customer engagement, largely offset by increased fulfillment efficiencies. As a reminder, we manage multiple levers across our P&L, so transaction revenue may fluctuate quarter-to-quarter as we intentionally reinvest in growth. Advertising and other revenue grew 10% year-over-year, reflecting our strong GTV performance, our onboarding of more Carrot Ads partners throughout the year, diversification across more than 9,000 active brand partners and the extension of our data advantage through off-platform partnerships and new data solutions. This momentum helped Q4 advertising and other revenue outperformed our expectations even as certain large brand partners continue to navigate macro uncertainty in their businesses. Some of our advertising and other revenue growth is also driving higher payments to publishers, which includes what we pay certain Carrot Ads partners for the benefit of advertising on their sites and incremental ad budgets that we optimize and deploy on behalf of brands on certain off-platform partnerships. While this shows up as higher cost of revenue, it's intentional and incremental growth by design. That's because these initiatives deepen our relationships with brands, unlock additional ad budgets and strengthen the broader platform by delivering value to retailers and consumers. While payments to publishers scale throughout 2025, we expect its year-over-year growth to moderate in 2026. In Q4, we also continued to demonstrate financial discipline and operating leverage. GAAP net income was $81 million, down 46% year-over-year. This decline was primarily due to higher G&A expenses related to nonrecurring legal and regulatory matters, including a $60 million settlement with the FTC. Absent these nonrecurring expenses, Q4 GAAP net income would have increased year-over-year. Adjusted EBITDA grew 20% year-over-year to $303 million. We also generated operating cash flow of $184 million, up 20% year-over-year. Because of our confidence in the strength of our business today and in our ability to keep investing, scaling and pressing our advantage, we opportunistically repurchased $1.4 billion of shares in 2025. This included $1.1 billion of repurchases in Q4 alone, which included our $250 million accelerated share repurchase program. We ended 2025 with approximately $1 billion in cash and similar assets and $671 million of remaining buyback capacity. Now on to our Q1 outlook. We're encouraged by the momentum we're seeing across the business and are starting the year from a position of strength. We anticipate GTV to range between $10.25 billion to $10.275 billion. This represents year-over-year growth between 11% to 13%, with GTV growth expected to outpace orders growth as we lap the full launch of our $10 minimum basket feature for Instacart Plus members in the prior year quarter. We expect advertising and other revenue to grow 11% to 14% year-over-year reflecting the ongoing benefits of diversification across supply and demand across our platform, in addition to a positive start to the year across large, mid-market and emerging brands. We are also guiding to Q1 adjusted EBITDA of $280 million to $290 million, up year-over-year by 15% to 19% and down quarter-over-quarter, primarily due to advertising seasonality. As we look ahead to fiscal 2026, we remain committed to steady annual adjusted EBITDA year-over-year growth at a rate that outpaces GTV growth. Similar to prior years, we expect this rate of expansion to moderate year-over-year as we reinvest to accelerate across our multiple growth engines and lap some of the more significant operating expense efficiencies realized in 2024 and 2025. Overall, we finished 2025 strong and are off to a great start in 2026. Our momentum is building, and we have multiple engines for growth and levers in our P&L to drive durable, long-term profitable growth and accelerate omnichannel grocery adoption for the industry. With that, we'll open up the call for live questions. Operator, you may begin.
Operator: [Operator Instructions] Our first question comes from Douglas Anmuth with JPMorgan.
Douglas Anmuth: You discussed in the letter how grocers come to you for technology and not just as a demand channel. How should we think about the scope of the opportunity here in terms of both marketplace as well as enterprise adoption? And how do you think about kind of the addition of new retailers versus deeper penetration with existing?
Chris Rogers: Yes, that's a great question. Thank you, Doug. I'll explain how we think about these -- the marketplace and enterprise side of our business. And I'll start by saying both of those have been growing and both are healthy. We do see enterprise as a real strategic advantage and also, in my view, a very underappreciated side of our business. And I know I made many of these points upfront, but I want to reiterate why enterprise is such an important part of our growth story here. It's, first and foremost, Enterprise enables much deeper strategic conversations and much deeper technical integrations with retailers. It's ultimately what's getting us on the same side of the table, and it's becoming the foundation for the relationship that we've built with retailers. So we're truly innovating there. We plan together based on everything that a retailer is trying to achieve. So it helps us drive growth through their owned and operated but also helps with the overall relationship back on our marketplace. So that -- the enterprise relationship that we have leads to improvements in the consumer experience that are felt on both sides. And I would say the other benefit of enterprise, which I want to call out is that is driving overall efficiency for us. It's increasing our order volume and density, it's lowering the cost to serve through shared infrastructure. It's allowing us to reinvest even more in share technology and capabilities that benefit everyone. And as far as future opportunity goes, I believe that there is significant future opportunity on the enterprise side in 2 ways, even though we've launched so many new partners on Store from Pro in 2025, we launched 70 versus just 30 the previous year, we're at 380. I do believe that there's quite a bit of room headway here, including internationally. We just launched our first partners internationally with Costco in Spain and France. So there's expansion opportunities with new retailers, signing and launching them but also by expanding with more products and services with existing retailers. That's the Costco example that I provided in the Sprouts example, where we call it land and expand internally where we have the opportunity to continue to serve solutions to retailers to drive growth for both of us over a longer time period. So our focus is really to grow both marketplace and enterprise, and we believe that there's substantial runway ahead.
Operator: Our next question, Nikhil Devnani from Bernstein.
Nikhil Devnani: Nice to see the GTV numbers and order growth. What do you think has driven the acceleration in the business as you look across core metrics from users to frequency and retention. And then related to that, maybe you could just step back a little bit. There's obviously a lot of focus on competition right now from Amazon, DoorDash and others, but your business is improving. So -- what are you seeing on the ground in markets where there is more competition? And are we just at an inflection point in grocery e-commerce adoption right now? Is that what you think is helping here?
Chris Rogers: Yes. Thanks for the question, Nikhil. I'll start with some of the drivers of our Q4 results because we're certainly very proud of our results. As mentioned, GTV was up 14% year-on-year, which is the strongest we've delivered in 3 years. From a consumer perspective, we are seeing growth in demand for our service. And look, the core drivers of our Q4 results were strong user growth and strong engagement with our customers. Last year, in 2025, 26 million customers used Instacart with approximately 10 million unique customers placing at least 1 order in December, which was a record. In addition, GTV from our 2025 new customer cohort was the largest that we've added since 2022. And what we're seeing is that we're retaining those customers at higher rates year-over-year. So we saw very strong new user metrics and at the same time, we deepened engagement with existing customers, converting annual customers to quarterly and quarterly to monthly at faster rates year-over-year, and we steadily increased spend per customer through 2025. But when I back up and look at the kind of the total picture of what's driving growth, it's not just one thing. The performance is reflecting multiple growth initiatives working together, including continuous enhancement across products and selection, quality, affordability, convenience. We also have real momentum with the enterprise platform, as I just stated, and we also have momentum in the club channel, including deeper integrations with Costco with our executive member benefit and with new and existing partnerships, which drove growth for us, including with restaurants, our restaurant integration with Uber Eats as well as our embedded experience in Grubhub. So it's really not one thing that's driving our performance, a compounding effect of a strategy that is working across multiple vectors, and we're executing very strongly against that strategy. From a competition perspective, I'll start by saying none of the competition activity that we're seeing surprises us at all given the size of the market opportunity for online grocery. And also, I have to say, I think that the sentiment around the competitive impact to Instacart is very overblown. Obviously, we monitor competition extremely closely. But if you take a look at the facts on the field, as you mentioned Nikhil, our GTV growth accelerated through 2025. Q4 was our strongest quarter in 3 years. And we guided to 11% to 13%, our strongest guide. That's despite all of the Amazon headlines and expansions and despite restaurant delivery marketplaces expanding with grocery retailers. We continue to have the leading share among digital first players. We are exceptionally strong in large baskets which is 75% of the market. We lead in large basket activations. We lead at converting small baskets to large baskets and look, we do pay attention. We are watching what others are doing and others are going to have their strategy. But there is definitely a market for us here, and we feel good about our points of differentiation, including our leading experience across selection, quality, affordability and convenience and with the entire enterprise platform, which, really, it's a part of the market that others just aren't participating in and is actually helped by intense competition as retailers that we partner with or force to react. So overall, I'm confident in the size of the market opportunity for online grocery. There's lots of room to grow. I'm confident in our ability to compete in this market in the long run.
Operator: Our next question comes from the line of Jason Halsen with Oppenheimer.
Charles Larkin: This is Chad on for Jason. Advertising came in a little bit stronger in the fourth quarter than maybe kind of initially feared. Could you maybe talk about the puts and takes of that? Was -- were you able to drive better adoption? Or was like kind of macro impacts better than expected?
Chris Rogers: Sure. Thank you for the question, Chad. So yes, we did deliver strong adds and other revenue performance at 10% in Q4. And I'll pull apart the drivers here. So first of all, we are growing GTV, which does help fuel investment from brands. That strength was coming from all segments, emerging, mid-market and large accounts even though we had highlighted some uncertainty around large brands on our last earnings call. But overall, if I take a giant step back, I think it's fair to say that our diversification strategy across supply, meaning new surfaces where we place ads and demands with more advertisers and larger budgets from existing advertisers, that is working. Carrot Ads expanded to over 310 partners, which is getting us to really significant scale. We now have over 9,000 brands advertising on Instacart. As of Q4, that's up from 7,000 a year ago. And all of that diversification makes our on-platform add stronger and more resilient. And at the same time, we're continuing to scale our off-platform ads and data offerings. So we're now partnered with Meta. We're now -- we're partnered with the Trade Desk, Google. Most recently, we partnered with Pinterest and TikTok, and we are successfully gathering incremental budgets for campaigns on these surfaces where CPGs can use our first-party data to target our high-intent audiences, measure their performance and drive conversion back on Instacart. So overall, I would say our stated strategy of building one of the most powerful and relevant ads ecosystem is working, and we're executing well against that strategy.
Operator: Next question that comes from the line of Shweta Khajuria with Wolfe Research.
Shweta Khajuria: Let me try 2, please. The first one is on international growth. As you think about medium to long term, how are you thinking about unlocking that opportunity? And are those markets structurally different when you think about grocery delivery? That's my first. And then second is on local commerce. So is there an opportunity and an unlock in addition to smaller baskets where perhaps you add on local merchants in addition to grocery, that could be the next leg of growth?
Chris Rogers: Thank you for the question. I'll start with international. Yes, what we're finding is the markets are -- they do operate differently, but we continue to be very excited about our plans to take our technology to new markets. And we believe that it's a promising future growth vector for us, which we've been busy validating. So the more time that we spend in new markets, speaking to retailers, the more convinced we are that this product market fit for our tech because retailers in these markets abroad are all trying to solve the same problems as retailers in North America. Meanwhile, in many of the markets that we visited, grocery e-commerce is still quite underdeveloped. Many retailers don't have an online presence at all or their current website isn't shoppable and retail media is just getting started in many of these markets. We're also seeing interest in our -- for our in-store solutions in markets abroad like Caper and FoodStorm as retailers look to digitize their in-store experience. So as we've learned more, we're feeling really great about our stated approach. Our approach to going international as we're exploring major markets, the top countries in Europe and in Australia. We're entering with our existing enterprise technology like Storefront Pro, Caper Carts, FoodStorm. We're not building a new suite of technology for these markets. We're leveraging the best-in-class tech that we already have and localizing it in a way that we believe will be scalable. Our Costco launch in Spain and France is a great example of that approach. Spain and France are attractive markets. It's Storefront Pro. It's a trusted partner with Costco. All of that said, I will also say that while we have ambitious expansion plans, we're also extremely focused on being disciplined on expenses. So that we expand in a way that aligns with our profitability objectives and our ability to deliver annual EBITDA progression. On your second question around local commerce, we, as of today, we already serve all use cases. We excel in big baskets, but we're also quite strong in small baskets as well. One of the things that we did a prior year was we reduced the minimum basket for Instacart+ users to $10, which is a lead offering and that is to attract smaller baskets. In terms of merchants and the types of merchants, our primary focus is grocery. It has always been grocery. We do offer other types of retailers on the platform for the convenience of our customers, but we are primarily focused on the grocery industry.
Operator: Our next question comes from the line of Bernie McTernan with Needham & Company.
Stefanos Crist: This is Stefanos Crist calling for Vernie. I just wanted to follow up on the international expansion. How many of your other partners like Costco have international business? And is that the main strategy? Or are you also approaching new customers as well?
Chris Rogers: Yes. Great question, Stefanos. So it's a mix. Many partners that exist in North America also exist in Europe, Costco is not alone in that. Many of our partners have a presence there. And it would be easy to kind of like look at which ones those were. For us, we're doing both. We're talking to existing partners about expansion like what we did with Costco because that's -- we've already got established trusting partnerships and we think that, that's strategically wise and oftentimes, North American retailers are looking for expansion plans because other markets are less developed from an e-commerce perspective, but we are also in these markets, meeting new retailers, selling to new retailers, making new relationships in the major markets in Europe. A great example of that was we spent time with Morrisons on in-store technology and now we're launching Caper Carts very soon in a Morrisons pilot market. So yes, we are -- we do have a sales presence in the market. We are talking to net new retailers and it's a big part of our strategy.
Operator: Our next question comes from the line of Josh Beck with Raymond James.
Josh Beck: I wanted to ask a little bit about price parity initiatives. Certainly, it seems like when grocers have adopted this pricing philosophy, you've seen a real nice elasticity benefit. So maybe how those discussions are progressing? And then you obviously shared a lot about agentic, which I felt very helpful. How do you think about the tailwinds to your business with respect to maybe on platform, so maybe easing the creation of large baskets? And then how do you think about perhaps the economics and opportunity off platform? I would assume there's a potentially much larger pool of customers. I just would really like to kind of hear your thoughts on those topics.
Chris Rogers: Thank you for the questions, Josh. I'll start with price parity. So we work closely with retailers on all strategies, including on their pricing strategies. In the case of price parities or not applying a markup, we do work with retailers on that because we believe it's in their best interest, and there's a positive short- and long-term ROI for them. We consistently see price parity retailers outperform marked up retailers on Instacart. We see better retention price parity retailers. And this is important not just because we have a very large platform. Retailers obviously want to win share on Instacart, but also because they don't want to lose share to some of the largest digital players who are increasingly vying for market share. So we talk to our retail partners about -- the full strategic approach when it comes to digital, pricing is one of those. We think it's strategically wise for retailers to consider this. We've seen some movements so far this year, Hy-Vee just went to price parity, Rales just went to no markups as well on the platform. So we have seen traction. You're going to see us continue to focus on that going forward. When it comes to AI and the influence of agentic consumers, so we're innovating here, when it comes to agentic experiences. We're focused on building agentic experiences directly on Instacart in a seamless way that's very additive. We're designing agentic shopping experiences and deeper personalization that's driving better end-to-end outcomes for customers. In fact, we think that we can build the best and most relevant agentic experience because of our -- the unique data advantage that I talked about upfront. And it's not easy. Grocery is extremely complex as a category. It is highly personal, especially for the big weekly basket. You can imagine how many preferences or dietary restrictions come into play when you're working on a family's weekly shop. But we continue to believe that we're in the best position to solve for that complexity directly on Instacart and with our first-party data from 1.6 billion lifetime orders and our understanding of the grocery consumers. So you'll see us continue to do that. We're also partnering off platform with third-party platforms like OpenAI and Google and Microsoft to be wherever customers want to shop. So the example was with OpenAI, we were the first grocery partner to launch native checkout directly on ChatGPT and we see this as a channel to attract incremental demand and make it easy for customers to find Instacart, land on Instacart, transact with Instacart. That's our approach there.
Operator: Our next question comes from the line of Eric Sheridan with Goldman Sachs.
Eric Sheridan: Maybe a few just on Instacart+. Any update on the adoption rate you're seeing in terms of people coming into the program? How do you think about investing incrementally in growing Instacart+? And any differences you're starting to see or that are widening in terms of frequency, engagement or cross-platform usage from Instacart+ users?
Chris Rogers: Yes. Thank you for the question, Eric. Yes, we continue to be pleased with the results of Instacart+. Instacart+ continues to represent the majority of GTV and orders on our platform. Paid Instacart+ members continue to grow, and Instacart+ customers are more engaged and they retain better than nonmembers. And all of that strength we reflected in our overall operating fundamentals that we shared, where we're seeing user growth and strong new customer retention metrics and deeper engagement with existing customers. From a strategy perspective, to the second part of your question, Instacart+ is designed to unlock customer value and drive engagement anchored by the $0 delivery but as well as several additional benefits like the $0 delivery minimum, which we lowered to $10 for grocery and $25 for restaurants. Also access to new use cases and services like restaurants with our Uber Eats integration, New York Times cooking, Peacock Premium. We expanded family accounts to 3 members. We also have in-app credits through select Chase partnerships. I'll also mention, which is relatively unknown, that the value of Instacart+ member extends beyond just our marketplace with the majority of our storefront retailers also using Instacart+ and offering $0 delivery there as well. So overall, Eric, we're pleased with the performance of the program. And yes.
Operator: One moment for our next question, comes from the line of Colin Sebastian with Baird.
Colin Sebastian: Great. I guess first, maybe just a follow-up on competition. I know you said that you studied this in a lot of detail. So I guess, are you seeing that there are distinct use cases for consumers on Instacart compared to how they may be using the traditional retailers or e-commerce platforms for grocery? Or is it just that the market is so large and online penetration is so low that there's just room for multiple players. And then my second question is actually on Caper Carts and sort of in-store monetization and maybe ultimately that ties as well to enterprise. But given the lift in basket size from the prompts on Caper Carts and even beyond that, I mean, what is the appetite you're seeing for advertising within the carts or demand for the carts and ultimately, the pipeline for that?
Chris Rogers: Yes. Thank you, Colin. On the competition point, Yes, I do think that some of the competition is pulling in incremental use cases, small basket use cases. We continue to perform well in small baskets and large baskets, but we do continue to win where it matters most, which is big baskets. Baskets over $75 represent 75% of the digital market. And given the nature of some of the other offerings that we're seeing out there from Amazon and others, I mean, Amazon is an example, in their same-day experience, there's a few thousand SKUs and 4- to 5-hour delivery windows. To me, their experience is inherently geared towards smaller fill-in orders and not the weekly shop with over a dozen items. And we see that play out in the data that we see some of the same-day grocery baskets appear to be well below $50. And also, we are seeing that as Amazon has ramped up their same-day perishable expansion. The biggest source of their grocery customers are coming from in-store and it's not a share shift from us. And on that point, I do want -- I don't want to underestimate what that means for our business because as companies who -- as a company that works with hundreds of retailers that compete with some of these large players, it's the ultimate rallying cry for the rest of our partners. The rest of the market needs a technology partner to help them compete and win, and we are that trusted partner. From an in-store perspective, at the highest level, we believe deeply in the opportunity for technology in the physical store with e-commerce at low double digits, the vast majority of transactions are still happening in store for the foreseeable future and there's a massive opportunity to modernize and digitize that experience with seamless operations and advanced personalization, wayfinding, advertising to help customers discover products and to help customers save money while they're shopping. From a Caper perspective, we think Caper is an ideal solution to this, and it's an ideal way to engage the consumer. We're seeing great momentum. We have thousands of cart commitments with retailers, big and small. We're now live in nearly 100 cities across 15 states. We launched new pilots in the second half of 2025 with Sprouts and Wegmans and globally with Coles in Australia. And as I mentioned, with Morrisons in the U.K. From a scale perspective, we're also continuing to expand with Wakefern, where we're now live at about 20% of their stores and where we've recently launched shoppable display ads, which is our first foray into the ads business. So overall, our learnings are that customers love the experience. Retailers love it for the operational benefits and the potential to digitize their customers and turn them into omnichannel customers. And then, of course, we're all encouraged by the early signals we're getting from an ad revenue perspective. So I remain optimistic about the future of Caper and incredibly focused on accelerating our momentum here.
Operator: Our next question comes from the line of Andrew Boone with Citizens.
Andrew Boone: I wanted to ask about your ChatGPT partnership. Now that Instant Checkout is live, can you talk about the advertising intensity that you're seeing with those orders? Is there anything that we should think about as we think about the evolution of retail media now as those channels start to mature?
Chris Rogers: Sure. So when it comes to ChatGPT, maybe I'll just back up and say our approach with the AI platforms right now is to ensure that we are served up in a high-quality way in a way that respects our data, but we are anywhere where a consumer wants to shop. And so our -- in fact, our goal is to help define what grocery shopping looks like across the next generation of digital agents, including Adiform. So we want to show up while we want to help kind of co-create the experience. on OpenAI, our partnership with OpenAI allows for consumers to shop, pay and now transact directly inside ChatGPT's app experience. So no switching or additional steps are required. We were the first company to do that. But we're also partnering with others. We're partnering with Google and Microsoft. In fact, we expect every generative AI company will connect into our grocery engine to drive demand for our retailers. From an ads perspective, I think like our immediate priority here is going to be to make sure that we're discoverable wherever customers choose to shop and that, that experience is incredible and that we're able to drive more users to our platform. And we think if we nail that there will be lots of opportunities to monetize that down the road. But more broadly, we are very excited about the opportunity of AI and ads together. That intersection, we think, long term, is going to be a benefit to our business. And there's a few reasons for that. One is on Instacart. So as you know, we're building conversational commerce and agenetic experiences. At the exact same time, the ads team is innovating alongside our consumer team who are building those genic experiences, and our ads will be directly informed by how consumers engage in agentic shopping. So our overall agentic ad strategy here is to build trust and utility with consumers that leverage everything that we've already learned from online in-store and in store. And the other thing that we're doing is we're using AI to improve all aspects of our ad technology, including behind the scenes with ranking and relevance and personalization. We're making all sponsored product ads more relevant, driving stronger engagement and more items added to the carts. That we're improving advertising to tooling and efficiency, making it easy for advertisers to manage and drive performance of campaigns, especially when it comes to emerging brands. Most notably, we've expanded our set of AI-powered recommendations for advertisers. So for example, where in a campaign is there headroom to raise your ROAS target while delivering your campaign goals or where can you increase new-to-brand coverage within the campaign? So we are highly engaged. We think we can be a leader here, and we look forward to the role that AI can play broadly in our advertising product down the road.
Operator: Our next question comes from the line of Deepak Mathivanan with Cantor Fitzgerald.
Deepak Mathivanan: Chris, obviously, I think grocery is one area where the way consumers shop can have a meaningful change with all the AI tools. I know you launched Cart Assistant basically for cart planning and things like that. And you also have integrations with ChatGPT and others. Are you seeing meaningful change in how consumers are doing grocery shopping, maybe starting with what they need for the week or for a specific recipe instead of kind of like staying with the typical routine for grocery shopping. And when do you expect some of the cart assistance and other AI experiences to be more broadly available? And then perhaps one more question on competition. What are you seeing specifically on retailers where Uber and DoorDash rolled out in the last few months. Are you seeing any consumer behavior changes?
Chris Rogers: Yes. Thanks for the question. What I would say on all grocery engaged agentic experiences is, first of all, I'm a believer that consumer behavior is going to shift over time, but it's still very, very early here. If we look at some of the referral traffic that we get from outside platforms, it's all very -- it's all kind of like not material at this point in time. We are investing because we do believe that consumer trends are going to change over time. So we want to make sure that we're there. However, it's still very early days and very -- relatively small relative to the size of our overall business. We are extremely excited about Cart Assistant, which is being built on top of our kind of very large and proprietary data sets, which is key here. We're making progress, significant progress. We're not racing to get this out the door. Our goal is to make our Cart Assistant the absolute best. The most relevant experience for consumers, especially since we're going to be extending this on to partners like Sprouts and Kroger. So in our view, many early genetic experiences are going to be limited in scope, operate as single step interactions which can potentially create friction. Our goal is to have a comprehensive agent out in market. We're in beta testing now, Deepak. We're moving quickly. We're learning a lot. We have plans to roll out on Instacart marketplace by the end of Q1. To the second part of your question on Dash and Uber specifically. So look, when it comes to retailers sitting on other marketplaces, marketplace expansion, first of all, is not unexpected at all. And again, we grew despite to use the DoorDash example, DoorDash and Kroger launched at the beginning of Q4, we just had our best quarterly growth in 3 years. And these launches to us really reinforce what I've been saying all along, which is when a retailer goes non-exclusive, that's steady state. We see other platforms growth plateaus and their basket size stays small, it's under $75. We remain the share of sales leader versus digital first players on these retailers. And we're also now seeing that as other marketplaces add retailers, the incremental growth that they see from each additional retailer diminishes. Their growth is increasingly coming from other retailers on their own platform. So at the end of the day, I don't loose sleep over any of this because our marketplace is strong, our enterprise platform makes us even more resilient. And it gives us a seat at the table with retailers that a stand-alone marketplace does not have. And if you look ahead, although I mentioned last earnings that 80% of our GTV already comes from non-exclusive retailers, I just want to be clear that our model has always assumed that retailers would sit on multiple marketplaces. That dynamic is fully embedded into our guidance and into our long-term strategy.
Operator: Our next question comes from the line of Ross Sandler with Barclays.
Ross Sandler: Great. Going back to advertising, you guys, I think, said that for 1Q as you're going to grow 11% to 14%, which is a nice acceleration off of a 4-point tougher comps. So could you just talk about what you're seeing thus far in the quarter and then the pipeline? Are we finally through the rough patch with large CPG? And then Emily to bring you in, you mentioned that COGS might leverage in 2016 on the publisher fees. So could you just talk about that leverage there? And then is that material enough to have an impact on overall incremental margins in 2016?
Chris Rogers: Yes. Thanks, Ross. I'll address advertising, and then we can pass it over to Emily. So yes, we are very happy. We're off to a very strong start in 2026. As you pointed out, we just guided to 11% to 14% for Q1. What I'll say is that we believe we have the right strategy here and we're executing well against it. We're already a top 5 retail media network and we're continuing to expand our scale and our reach across our growing marketplace across our expanding Carrot Ads footprint, off-platform and with our data solutions. So our strategy is sound. Looking ahead, we're not providing guidance beyond Q1, and there's still some macro uncertainty that we're seeing in the market and some ongoing changes in consumer preferences as an example. But overall, our plan and our approach is to focus on driving strong year-on-year growth by continuing to diversify in terms of supply and demand and ensuring that we're building the largest and most effective ads ecosystem. We have a very clear set of building blocks, which involves continuing to innovate on platform with advanced personalization and relevancy and all of the AI tooling I described, driving exceptional performance and measurement for brands as our goal and then extend all of that innovation to Carrot Ads, which is again, we're at 310 Carrot Ads partners now, which gives us real scale and then extend in-store on Caper Carts, which we just launched, and I continue to believe that this is going to be one of the most interesting in-store advertising opportunities out there. And then we're going to use our first-party data to extend off platform. We're still early with off-platform, but we've built a strong foundation here. We have the right set of partners, and we're excited to scale that further. So with the strategy, like we're confident in this space and our ability to deliver our long-term targets here. But we do believe that we're -- I am optimistic about what we can achieve in ads.
Emily Maher: Ross, thanks for the question. So just to get a little more specific on what I was trying to call out is that if you look at adjusted cost of revenue through the course of last year, you did see a little bit of a modest step-up in Q4 related to cost of revenue. And so I wanted to call that out because while the majority of cost of revenue is going to be from credit card transaction payments that do sort of scale relatively with GTV. There is a component of cost of revenue that we do call out in our filings, which is payments to publishers. And so I wanted to specifically give some context of what that includes. It's effectively 2 things. One is what we pay certain of our Carrot Ads partners for the benefit of advertising on their surfaces, as well as the budgets that we get where we're optimizing and deploying ad dollars on behalf of brands for certain of our off-platform partnerships. So it's not all of our off-platform partnerships. Now to your question around, is this going to cause sort of overall impact to margins at large. What I'd say is that first of all, what I wanted to highlight is that while payments to publishers specifically did scale throughout 2025, we do expect that year-over-year growth to moderate in 2026. Now when I think about the P&L as a whole, I would say 2 things. So first of all, that was a relatively modest impact. And we think that we have multiple levers across the P&L to drive profitability over time. And you've seen us drive that pretty effectively over time. Now we did say that our expectation is that the expansion of EBITDA, while we look to continue to expand EBITDA, grow EBITDA faster than GTV through the course of 2026, that rate of expansion we do expect to moderate, and that is because you've seen quite a lot of OpEx leverage as one example over the course of the last couple of years. We do have a number of great opportunities to reinvest in growth that we're seeing in terms of both short, medium and long-term bets. So I wouldn't necessarily tie those 2 thoughts together. I think we have great opportunities to drive growth. and continue to have many levers at our disposal to turn that into profitable growth over time.
Operator: Our next question comes from the line of Michael Morton with MoffettNathanson.
Michael Morton: Maybe if I could just follow up what we were just talking about, and I really appreciate the detail on the cost of revenue. Could you maybe speak a little bit about the contributors to advertising growth between on-site and off-site in the guide. Does that imply maybe some improvement in the on-site growth rate because we were trying to do some of that math that you talked about with the publisher payments as well? And then also, I think, probably for Emily, could you quantify the contribution that you're seeing from Kroger's decision to change some of the fulfillment because business models, I would say, and what will then flow to cart and maybe how much of that is included in your guidance?
Emily Maher: Sure. I can jump in and Chris, feel free to add any detail. So in terms of contribution to ads from on-site versus off-site, so we think of on-site, just to clarify, as a combination of the ads that we serve on our marketplace as well as through Carrot Ads. If you come to Instacart to advertise and you deploy dollars, those are deployed across that full suite of services. And so just to be clear, while we've talked about off-platform because there is something that stands out specifically in the cost of revenue line, really, what we're talking about is an ads business that is primarily comprised of that on-site or we call it on-platform internally, ads revenue, and we're continuing to see growth driven by on-platform. So off-platform is a smaller contributor overall, but it is something that is starting to see some growth and some benefits, so definitely worth calling out. In terms of specifically quantifying contribution from Kroger, we don't call out sort of specific retailers, but we're definitely happy to see that what we're able to provide in terms of same-day logistics, something that we thought was always a really critical benefit in terms of understanding the desire from consumers to get their groceries when they want it, when they need it, which in the majority of cases is on demand that we're able to step in and provide that service for our partner.
Operator: One moment for our next question comes from the line of Mark Zgutowicz with Benchmark.
Mark Zgutowicz: I was just curious how you see the time line for the ads opportunity in Europe developing given the lack of 1P data in the region? And do you anticipate the incremental ads benefit here to come largely from net new brands or your existing global partners?
Chris Rogers: Thank you for the question, Mark. Our approach to Europe, when we take a step back and we look at which technologies we're taking to Europe, we're primarily focused on Storefront Pro, which oftentimes has ads embedded directly into it. So we'll have ads capabilities over time. Caper Cart, which is also -- has an advertising surface area that we think is going to be monetizable over time and then FoodStorm, which is our catering software. So our approach is going to be take our technology, work with retailers, start to solve complex problems and start to build new relationships with retailers abroad. And then advertising will be like a fast follow-on once we have the service areas that are at scale to advertise in those markets.
Operator: Thank you. Ladies and gentlemen, this concludes our Q&A session and conference for today. Thank you all for participating. You may now disconnect.